François-José Bordonado: Thank you, Serena. Thank you for joining us on our earnings conference call, with Bernard Charlès, Vice Chairman and CEO, and Pascal Daloz, Executive Vice President, CFO and Corporate Strategy Officer. Dassault Systèmes’ results are prepared in accordance with IFRS. We adopted IFRS 15 in 2018, so all comparative information is presented under IFRS 15. In addition, we adopted the new IFRS 16 lease standard as of January 1, 2019. Most of the financial figures on this conference call are presented on a non-IFRS basis, with revenue growth rates in constant currencies unless otherwise noted. Some of our comments on this call will contain forward-looking statements that could differ materially from actual results. Please refer to today’s press release and to the Risk Factors section of our 2018 Document de Référence. All earnings materials are available on our website and these prepared remarks will be available shortly after this call. I would now like to introduce Bernard Charlès.
Bernard Charlès: Thank you for joining us. As you have seen this morning, we delivered a quarter well in line with our financial guidance, with double-digit revenue, software and earnings per share growth. We are reconfirming our full year objectives and upgrading for currency as Pascal will discuss later. We are seeing strong momentum with the 3DEXPERIENCE platform, having reached a key inflection point last year. We have major new wins and are expanding our 3DEXPERIENCE business with clients, with some examples I will share with you shortly. With the platform, we see a change taking place with clients. Today more companies view us as a strategic partner to help them transform. The power of the 3DEXPERIENCE digital platform as an enabler for today’s industry renaissance is truly visible. We will discuss opportunities in several different industries as well as our new global software partnership agreement with ABB, who is also adopting our 3DEXPERIENCE platform. With our capabilities and offer, we have a unique opportunity to change the game and become a leader in target industries, including Life Sciences, Energy & Materials, as well as Home & Lifestyle.  Let me begin with the Life Sciences industry, demonstrating our purpose in action. We have now developed a comprehensive offer to address the transformation underway in this vertical. As drugs and therapeutics shift to the world of biological drugs, meaning large molecules, representing an estimated 50% of the pharma R&D pipelines currently, the industry is moving to a world of personalized health, with such products as combination products delivering medicine through wearable devices enabling treatment delivery within a home environment. In that regard, this quarter, we unveiled to pharmaceutical clients a prototype product, IASO, named after the Greek goddess of recovery, as a showcase for the lifecycle of combination product in oncology. From upstream thinking and innovation through commercialization, this prototype demonstrates the value that Dassault Systèmes and the 3DEXPERIENCE platform as well as industry solutions can deliver to stakeholders facing the challenges of bringing these critical combination products to market to transform the patient experience. Congratulations to the Life Sciences industry team working with all our brands and leveraging the 3DEXPERIENCE marketplace for 3D printing services. Now, let me shift to the Industrial Equipment industry, which is going through another major transformation, moving from product to experience delivery, from mass customizations to mass personalization, and from disconnected to intelligent systems. We believe a platform approach enables the real and virtual worlds to inform and reinforce each other. Our 3DEXPERIENCE twin, you can read as the virtual or digital twin in daily press is very well positioned to do so, as we are working in both worlds, and with an offer covering all key domains. Schindler, who adopted the 3DEXPERIENCE platform for its escalators business, is now extending this to its elevator business. They are using the 3DEXPERIENCE platform on the cloud for digital twin creation, experiencing the twin, digital transformation of the company and to connect the dots across their extended enterprise. CLAAS, an agricultural equipment company, a world leader, has adopted a single digital platform for all disciplines, providing rapid access to the company’s extensive knowledge and know-how and facilitating high-visibility collaboration to enable intelligent innovation across multiple countries and cultures. With ABB, we announced a wide spanning global partnership. ABB is adopting the 3DEXPERIENCE platform to model and simulate its solutions before delivering them to its customers. Home & Lifestyle is another industry where we are positioned to be a game-changer. Today, more than 850 brands are using Centric PLM. It is clearly developing a unique, market leadership position. Centric PLM is helping customers achieve faster time to market, translating into revenue increase of 5% to 10%; lowering inventory costs as well as improving efficiency, translating for instance into logistics cost savings on the order of 10% to 15%. Just a few words on our Design in the Age of EXPERIENCE conference held in Milan a few weeks ago. You may know, Milan Design Week is similar for design to what the Fashion Week is about. There is truly a new age for design on a new global community of innovators using 3D and 3D DESIGN, to bring emotion, to bring better adaption to usage, a true so to speak 3DEXPERIENCE for all. I believe we are extremely well positioned to address this global community. Moving now to Energy & Materials, I would like to focus on mining where we had a major announcement this morning. It’s clear that mining companies are seeking transformative change to sustain profitability and their social license to operate. Some companies have started to deploy tactical innovations including automation, virtual reality, drones, and the internet of things. And there have been improvements realized in verticals such as resource modeling, short-term scheduling and fleet management. However, there is more the industry needs to do to truly transform itself. BHP, a major global resources company and the largest mining company in the world, is leading this effort. We are very happy to announce that we have entered into a long-term strategic partnership with BHP to leverage the application of digital technologies, bringing the best practices of most of industries as appropriate to mining. Combining the experience and resources of each company, the ambition is to unlock value by [Audio Gap] of geoscience and resource engineering. The partnership intends to create a new level of understanding of resource and operational potential, underpinned by both company’s commitments to safety as well as sustainability. Before passing the presentation to Pascal, let me recap the highlights of our performance in the quarter. Our revenue results came in the high-end of our objectives. Software revenue increased double-digits in 7 out of the 11 industries we cover, all three core and several of our diversification industries, including High Tech, Life Sciences and Home & Lifestyle included. On a regional basis, we saw strength in all three regions, led by 3DEXPERIENCE and large wins in newer brands as well. We are benefiting from our geo diversification as we continue to build out our market presence in key geographies. Several notable geos in the quarter were China, Southern Europe and North America. 3DEXPERIENCE software revenue increased 26%. 3DEXPERIENCE licenses revenue increased 25% and represented 40% of related licenses in the quarter. We had new major wins and important follow-on orders with companies in Transportation & Mobility, Industrial Equipment and Energy & Materials. In addition, our Power’By strategy is bringing significant value to our clients to integrate legacy. Pascal, you have the floor now.
Pascal Daloz: Thank you, Bernard. Hello and thanks to all for joining us. With the financial overview with Bernard, let me now share further business and financial details. Looking at our performance, there are two key points I would like to underscore. First, our financial results were well aligned with our guidance. Both total revenue and software revenue came in at the high-end of our constant currency growth range. We saw a strong performance for recurring revenue, actually above our target range, with licenses software at the lower end of our target. And, in combination with our operating expense performance and currency evolutions, EPS increased 21% to €0.87, ahead of our €0.78 to €0.82 objectives. My second point, if you look at our revenue components, our results are coming from broad-based growth – with licenses revenue up 9% organically and recurring software revenue up 8% on an organic basis. Moving to our software revenue growth by region and at constant currency. Americas software was higher by 18%, reflecting acquisitions, large deals in our direct sales channel and strong recurring revenue performance across all channels. On both a reported and organic basis, the Americas had the highest growth in the quarter. From a geo perspective, North America had a strong start. In Europe software revenue increased 10% with large deal activity in multiple geos, including Southern, Central and Northern Europe. In Asia software revenue grew 8%, led by China and Asia Pacific, both up double-digits. We had good growth in Asia in all geos in terms of recurring software. Zooming in on brands. CATIA software increased 6% in the quarter to €271 million. Its strongest performance was in North America this past quarter. In general, CATIA had a strong increase in 3DEXPERIENCE software revenue growth. Following on a huge fourth quarter, ENOVIA delivered a very strong first quarter with software revenue growing 19%, led by strong growth in 3DEXPERIENCE software. ENOVIA had a number of large deals in Europe, the Americas and Asia. The top deals included Transportation & Mobility, with excellent traction, as well as High Tech and Industrial Equipment, among others. SOLIDWORKS software revenue increased 5%. On a regional basis, we saw a very good dynamic in Asia. From a channel perspective, with the launch of the 3DEXPERIENCE.WORKS, a new business application family on our platform, we expect to spend a good deal of time on planning and training with the Professional Solutions channel given the significant opportunity to bring the power of the platform and the portfolio to the Mainstream market. All in all, we anticipate a solid year of growth for SOLIDWORKS with its software revenue increasing between 5% and 10% in 2019. Other Software increased 22% in the first quarter. The largest domains are simulation with SIMULIA, followed by manufacturing with DELMIA and PLM for Fashion with Centric PLM. SIMULIA had a good set of results, including a high single-digit growth on an organic basis and we saw a solid performance for Centric PLM. Just a few comments on DELMIA, we call it the Make It Happen brand, which now includes Quintiq. DELMIA enables global industrial operations to design and test the manufacturability of products in a simulated, virtual environment, optimize the supply chain and factories to meet objectives; and to operate the factories, warehouses and distribution to manage and fulfill customer demand. As part of the industry renaissance, global industrial operations are front and center and a core area of investment by companies now. We have been making significant investment in these domains over the last four years. And now this is visible in DELMIA’s results where software revenue increased 25% in constant currencies on an organic basis. To be clear, this is before adding in the revenues from DELMIA WORKS which we acquired in January. As I mentioned, we have now added Quintiq to the DELMIA brand portfolio, but we track its financials separately. Its software revenue increased very substantially plus 78% in the quarter. In total we saw good traction in multiple core industries as well as in Marine & Offshore this past quarter for DELMIA. A client example we have in today’s presentation is Eurostar, who selected DELMIA Quintiq applications powered by the 3DEXPERIENCE platform. With our software, Eurostar will be able to optimize its resources, including its train drivers, managers and control staff, and maintenance planning, to increase frequency while complying with complex rules and legal regulations. Moving to our software performance by industries, we had double-digit growth in seven of our eleven industries, including all three of our core industries, Aerospace & Defense, Transportation & Mobility and Industrial Equipment. In our Diversification Verticals, we had double-digit software growth in High Tech, Life Sciences, Marine & Offshore and Home & Lifestyle. Commencing this year, we have regrouped several of our target diversification industries based upon natural synergies and a refinement of our focus: notably now Home & Lifestyle; Energy & Materials; and Construction, Cities & Territories. So we now show eleven industries groupings versus 12 previously. In the first quarter total revenue increased 13%, on a good performance for both software, representing 89% of total revenue, up 12% and services, also up double-digits. On an organic basis, both total revenue and software revenue grew 8%. Looking at the components of software revenue, License and other software revenue increased 15%. On an organic basis, the growth was 9% with notable performances in Transportation & Mobility, Industrial Equipment and High Tech. Recurring software revenue increased 11% on double-digit subscription and support growth and represented 75% of total software revenue. On an organic basis, recurring software revenue increased 8%, well aligned with our plan for the year to show further, progressive strengthening of our organic recurring revenue. Moving to services performance, growth continues to be led by 3DEXPERIENCE implementation activities. On an organic basis services revenue increased 9% for this quarter. Now, let’s zoom in on our operating performance. In the first quarter our operating profit increased 22% to €316 million. In turn, our operating margin was 32.8%, ahead of our guidance of about 31% to 31.5%. This reflects both a more favorable currency, but also better activity, higher revenues as well as some slower hiring. In comparison to the year-ago quarter, the 440 basis point improvements came largely from organic improvement of 210 basis points, more than offsetting 120 basis points of acquisition dilution. Currency was a positive contributor in the amount of 50 basis points. As a reminder, for the full year we are targeting to improve our underlying operating margin by about 80 basis points, exclusive of any benefit from IFRS 16 Leases. EPS increased 21% as reported and 13% at constant currency, reflecting revenue growth and operating management. The tax rate increased about 90 basis points – at 29.7%, versus 28.8% in the year-ago quarter. Our net operating cash flow increased 20% to €489 million reflecting the strong growth in net income, non-cash items as well as the working capital improvements. Unearned revenue, now called contract liability, totaled €1.01 billion at March 31. This represents an increase of 10% at constant currency and perimeter impact. Now, let’s move briefly to our guidance, beginning with the full year 2019. First, we are confirming our total revenue objective for growth of 10% to 11% at constant currency. Second, we are upgrading our reported figures for the better evolution of currency in Q1 and an update of our exchange rate assumptions for Q2. As a result, we are moving the mid-point of our reported revenue range higher by €35 million, €19 million comes from Q1 and an estimated of €16 million for Q2. Third, we are also upgrading our EPS by €0.5 at the mid-point. As a result, our total revenue range is now €3.845 billion to €3.875 billion and our EPS range is €3.40 to €3.45. Our operating margin remains the same, targeting 32% to 32.5% and reflects an underlying improvement of about 80 basis points exclusive of IFRS 16 and currency. In total we expect a similar performance to 2018 from a revenue perspective with a higher contribution from recurring software revenue, bringing increased visibility and predictability. More specifically, we see solid growth on an organic basis, thanks to an estimated 100 basis points to 200 basis points increase in organic recurring software revenue growth to about 7% to 8% for 2019, from 6% in 2018. By the way, this represents 200 to 300 basis point improvement from 5% in year 2015. For Q2, we are targeting a revenue range of about €920 million to €940 million, an operating margin of about 29.5% and EPS of about €0.74 to €0.77. Our revenue range embeds a licenses growth rate range of 11% to 14% and a recurring software revenue growth rate of 9% to 11%. With respect to recurring revenue, let me just remind you that on a sequential basis, reflecting IFRS 15, recurring revenue in Q2 would be lower than Q1. Finally, just a further reminder that our Q2 and full year financial objectives are presented on a non-IFRS basis with revenue growth rates at constant currency. For purposes of our guidance, we are using a $1.15 rate per €1 exchange rate in Q2, then a $1.20 rate for Q3 and Q4. For the Japanese yen, JPY130 rate per €1 exchange rate before hedging for all three quarters. Before taking your questions, I wanted to share that our investor relations activities this quarter will include attendance at the JPMorgan Conference in mid-May in Boston. The Exane Conference in June in Paris and several roadshows, including one in Germany, I will be attending these events with members of the investor relations team. To summarize, the first quarter well illustrated the good dynamic of our key growth drivers and position well for the future. We will now be happy to take your questions, and thank you for your participation on this call and our earlier webcasted meeting held in London.
François-José Bordonado: Serena, we can take questions now.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Jay Vleeschhouwer [Griffin Securities]. Please ask your question.
Jay Vleeschhouwer: Thank you. Hello, Bernard. Hello, Pascal. Bernard, on the call a quarter ago, you may remember that we talked about your manufacturing software business. So I’d like to ask about that again. Particularly, given how important IQMS was at SOLIDWORKS World a couple of months ago. At that conference, management was highlighting the plan to enable your channel to represent or absorb IQMS, and so I’d like to ask how that’s proceeding? And then perhaps for the longer term, my understanding is that DS has an ambition for IQMS to grow to perhaps as much as $0.5 billion business by sometime, let’s say, the middle of next decade, which would be a considerable multiple of a recurrent level of revenues for that business. What has to happen over the next six, seven, eight years to grow IQMS or now DELMIA WORKS to that scale?
Bernard Charlès: Good morning, Jay. Thank you. You’re right. First of all, we continue to very successful dynamic of the overall manufacturing product line across the board, all sectors, large clients, mid-sized and now of course, the new focus we’ve mainstream ERP. As you are referring to, it was announced at SOLIDWORKS World a couple of months ago with DELMIA WORKS. The – we are on a good start. The IQMS, now DELMIA WORKS, was mostly direct. They had some partners, however, that were doing quite well. So we are expanding those partners with a selection of the current SOLIDWORKS resellers, which who are won or were already selling supplemental software or who are willing to invest. And this ramp-up is taking time. The IQMS team is – knows how to do it because they did it for several partners before. And now I think also what I must say, the team that you know, Ken Clayton, Paul Adams were really – from the professional solutions standpoint are highly committed because they see the value for the clients. So things are going properly. We are in the scope of what Q1 was targeting for DELMIA WORKS, IQMS now and – the former IQMS. And we hope that before year-end, this indirect piece will supplement the revenue growth in a visible manner, which is not the case today but should be the case before year-end. The ambition to be a $0.5 billion brand is really a possible ambition. We have no doubts about it. It’s more the execution now to leverage both direct and indirect. Too soon [Audio Gap] inform as we make progress there.
Jay Vleeschhouwer: Thank you for that. Also during the quarter, there was a customer conference, as you know, DS customer conference in New Orleans, at which there were a number of interesting presentations on Power’By. And my question there is can you specifically attribute the new growth or the better growth in the V6 new license business to Power’By? I mean, is that in fact a significant driver to the momentum you’re seeing there? Or are there other factors?
Bernard Charlès: Yes, and no. First of all, Power’By is a very good way to position the EXPERIENCE platform for existing SOLIDWORKS or CATIA V5 or even legacy CAD. It’s working, we have connectors we [indiscernible] on CAD systems that you know on the market. So it’s working beautifully. The main – however, related to your question about the 3DEXPERIENCE revenue, it’s – most of it is coming from the native industry solutions implementation on 3DEXPERIENCE, not from the Power’By on legacy design annulment.
Jay Vleeschhouwer: Okay. Just a couple of last ones then for me. As part of your guidance for 2019, to what extent have you included a contribution or a meaningful contribution from one or both of higher, the new xApps or the marketplaces?
Bernard Charlès: You’re referring to xDesign on xShaper?
Jay Vleeschhouwer: Yes.
Bernard Charlès: And I think this year is more a market introduction. Pascal, you want to say more?
Pascal Daloz: So to go straight to the answer, Jay, I did not take into account the numbers in the guidance.
Jay Vleeschhouwer: Okay. Very good. Thank you.
Bernard Charlès: Thank you.
Operator: [Operator Instructions] And your next question comes from the line of Jason Celino [KeyBanc Capital Markets].Please ask your question
Jason Celino: Hi, Thanks for taking my question. I had a couple this morning. I guess the first one is around your BHP strategic partnership announcement. As we kind of think about the Boeing deal that you also did and the Airbus deal, I mean how does this compare in terms in size?
Bernard Charlès: Hi, Jason, welcome. Glad to have you in this call.
Jason Celino: Thank you.
Bernard Charlès: So again, the BHP, it’s a long-term partnership so the contract is [Audio Dip] every year. 
Jason Celino: I think you actually broke up a little bit there. Could you maybe say that again?
Pascal Daloz: 10 years for the contract, five years for the financial commitments, and every year, we’re talking about tens of millions. So this is for the existing commitment. And on top of this, we have developed a business model, which is an interesting one. We have a mining – we license per mine. So meaning that if we are being able to equip all the different mine inside BHP, this contract could be equivalent to what we do with Boeing.
Jason Celino: Okay, very nice, very nice. I guess was – so was BHP an existing customer? Or is this kind of a new win? 
Bernard Charlès: It was an existing one. But on a point solution, you remember when we – you’ll remember. When we acquired a company called Gemcom doing a product called Surpac, which is very, very specialized, which became, by the way, GEOVIA. This is what is GEOVIA now or geophysics and geoscience, but this – so they were a very small customer, basically. The question here is much more about the 3DEXPERIENCE platform to connect the dots for all operations.
Jason Celino: Okay. No, that’s good. And then related to your ABB partnership, it’s a very interesting partnership. I mean, can you maybe talk about how it came together? And maybe what the go-to market strategy is?
Bernard Charlès: The ABB relationship has been a – it’s a long-lasting partnership. They use many of our solutions already in different divisions, and that’s one aspect. Second aspect, we see Chooser [ph] serving common customers. There are a lot of Dassault Systèmes customers using ABB machine equipment, robots and even automation system. And so the – really, the partnership is built on a very strong high-quality set of relationship and also with the ambition to have ABB becoming the industrial integrator of many of the solutions we already deliver to our clients. So what we want to demonstrate basically with the ABB partnership is that horizontal integration, I call this horizontal integration, is more powerful than vertical integration. And it has been very well received by clients around the world. In fact, other players in that sectors are now contemplating to connect further with our 3DEXPERIENCE platform. I could name KUKA, I could name Tipp-Ex. Tipp-Ex is the huge division of Toyota Motor Company doing huge robotic installation in assembly lines. And they are contemplating to connect much more in the same way. So I think it’s a significant way to demonstrate some of the other approach used by other industrial firms to do vertical integration might not be the best way to do things.
Jason Celino: Okay. Thank you for the color. The last question related to the strength in China and Asia. So it looks like Asia and other – APAC, Asia-Pacific, might have done better. Maybe can you talk about environment in the other parts of Asia?
Bernard Charlès: Well, Asia is very diversified. You have AP-South and then you have India – China, India, Korea and Japan. That’s the way we split that area of the world. Overall, the dynamic is – and the visibility is very good. We have a lot of activities in both Japan, India and China. You should not look at one quarter. The prospective is a very good prospective for double-digit growth.
Jason Celino: Okay, great. Thank you for the color.
Bernard Charlès: Thank you very much, Jason.
Operator: [Operator Instructions]
Bernard Charlès: I think I want to thank you everyone today for participating this morning in London through the connection or with your presence and also this afternoon here at this phone call. First, we are always here for you to address your questions. Don’t push the rumors too fast. That is not needed. Thank you very much, and talk to you soon.
Operator: This does conclude our conference for today. Thank you for participating. You may all disconnect.